Operator: Hello, and welcome to the Centerspace Q3 2022 Earnings Call. My name is Lauren, and I will be coordinating your call today. [Operator Instructions] I will now hand you over to your host, Joe McComish, Vice President, Finance, to begin. Joe, please go ahead.
Joe McComish: Centerspace's Form 10-Q for the quarter ended September 30, 2022 was filed with the SEC yesterday after the market closed. Additionally, our earnings release and supplemental disclosure package have been posted to our website at centerspacehomes.com and filed on Form 8-K. It's important to note that today's remarks will include statements about our business outlook and other forward-looking statements that are based on management's current views and assumptions. These statements are subject to risks and uncertainties discussed in our Form 10-K filed for the year ended December 31, 2021 under the section titled Risk Factors and in our other filings with the SEC. We cannot guarantee that any forward-looking statement will materialize and you are cautioned not to place undue reliance on these forward-looking statements. Please refer to our earnings release for reconciliations of any non-GAAP information, which may be discussed on today's call. I'll now turn it over to Mark Decker for the company's prepared remarks.
Mark Decker: Thanks, Joe. And good morning, everyone and thanks for joining us. With me this morning is Anne Olson, our Chief Operating Officer; and Bhairav Patel, our Chief Financial Officer. Strong fundamentals continue in the rental housing business and 2022 will likely go down as one of the best years on record. Against that backdrop, Centerspace has performed well, and I'm delighted to report that core FFO per share is up 17% quarter-over-quarter and 11% year-to-date. I'm also happy to share that our guidance for the full year is for at least 10% core FFO growth, and the top line story remains encouraging. The capital markets have been volatile with a 10-year up over 130 basis points since we last got together or almost 50% from mid-2s to over 4%. The speed of this move paired with the continued inflation in materials and labor as well as a return to pre-COVID seasonality have caused us to trim our guidance from August. Finding ways to contain costs and improve processes while maintaining strong customer service is the top focus for us today. All that said, if we zoom out a little, Centerspace has an outstanding business and the housing we provide meets the basic need. Our business is remarkably consistent as represented by 2022 being our fourth straight year of same-store NOI and per share core FFO growth. But we do believe profitability and efficiency remain an opportunity to improve and drive value, and it's one of our key strategic pillars to do so. I know we can. Turning to investments. We've been more active over the last few months than we were for most of the year. We invested $95 million in a brand-new community in Denver called Lira, adding 215 homes in the tech center submarket. And through the end of October, we purchased around $29 million of our common stock. Lira is a community we've tracked since predevelopment, and we ended up with the opportunity to get a community that just opened in April and experienced a strong lease-up at a price we believe is below replacement cost. Similarly, the shares we purchased in late September and October were made at historically wide NAV discounts and low multiples. The market is in turmoil, and we don't believe the fundamentals embedded in the business are reflected in the current price of our shares. We feel great about both investments, which were executed through the lens of how do we improve the portfolio earnings quality and per share results. Going forward, we expect to be in an opportunistic environment, and we'll continue to be aggressive while carefully minding our liquidity position. None of these results would be possible without a strong team. And I want to thank everyone at Centerspace for their hard work. And with that, Anne, would you please provide a quick operations update.
Anne Olson: Thank you, Mark. And good morning. Revenues continue to drive growth with third quarter revenues increasing 11.1% over the same period in 2021. During the third quarter, our same-store new lease rates increased 7.5% on average over the prior leases and same-store renewals achieved average increases of 8.7%. On a blended basis, this is third quarter rental rate growth of 8.2%. While we are starting to see seasonality in leasing velocity, our Mountain West same-store portfolios remain strong with double-digit new lease rates in Denver, Billings and Rapid City during the quarter. Our non-same-store portfolio achieved increases of 7.7% on average over prior leases with renewals up 9%, while retaining over 60% of our residents. As we move into the fourth quarter and have lower expirations, occupancy is trending positively. Our expense guidance for the remainder of 2022 reflects the volatility we are experiencing in areas such as utilities and uninsured losses as well as our experience year-to-date on labor and materials. Maintaining our communities remains a top priority for us and inflationary pressures have driven cost of repair and maintenance significantly this year. We particularly see the impacts in plumbing, flooring and painting. Internally, salary and benefits costs have increased year-to-date 6.7% over the prior year, which is in line with CPI increases for wages and salaries through June. Expense trends vary widely by market, but across the board, we need to advance efficiencies and contain expense growth as we head into 2023. It remains a great year for us. Year-to-date net operating income has increased 10.3% over 2021 as we managed to optimize revenue during the last 18 months of historic rent increases. We're up to the challenge of providing great homes during times of expense pressure. Now I'll turn it over to Bhairav to discuss our overall financial results.
Bhairav Patel: Thanks, Anne. And good morning, everyone. Last night, we reported core FFO for the quarter ending September 30, 2022 of $1.15 per diluted share, an increase of $0.17 or 17.5% from the same period last year. The growth in earnings was fueled by another strong quarter of same-store NOI growth, which increased by 11.4% versus the same period last year. G&A and property management expenses for the quarter were $4.5 million and $2.6 million, respectively, for a combined total of $7.1 million. That included $234,000 related to software implementation, which was excluded from core FFO as the implementation is expected to be completed by the end of the year. Excluding the implementation costs on a combined basis, G&A and property management expenses increased by $1 million or 16%, which was mainly a result of saving our support functions to service a larger portfolio, mainly due to our significant acquisition of the KMS portfolio. The KMS acquisition and other acquisitions since the third quarter of last year have increased our revenues by approximately 25% on an annualized basis. At the end of the third quarter, we acquired Lira apartments for $95 million. We funded the acquisition by drawing down on our line of credit, increasing the balance of the line to $171.5 million at the end of the quarter. As of the end of the quarter, the weighted average maturity of our debt was 6.3 years and weighted average interest rate was 3.45%. As of October 31st, we had repurchased a total of 427,000 shares or approximately 2.3% of our diluted shares at an average price of $67.25 per share for net consideration of approximately $29 million. Turning to guidance, which is presented on Page S-17 of the supplemental. We are updating our guidance for both same-store NOI growth and core FFO per share, mainly driven by continued expense pressures across the portfolio. Despite increasing our same-store revenue growth guidance by 25 basis points at the midpoint, our same-store NOI guidance is now lower by 75 basis points, driving a $0.03 reduction in the midpoint of our core FFO guidance. We saw similar expense increases in our non-same-store portfolio, which was a larger contributor to the reduction of our core FFO guidance. A large portion of the increase, however, was driven by larger-than-projected unreimbursable losses of $450,000 in turn costs, which were significantly higher as some of these units turned for the first time under our ownership. The acquisition of Lira contributed another $0.02 worth of reduction to the midpoint of our core FFO guidance. Offsetting these reductions were lower than projected G&A expenses driven by reduced incentive-based compensation and lower interest expense. In summation, the changes are discussed resulted in a reduction of $0.07 to the midpoint of our core FFO guidance to $4.46 per share. As I complete my first year at Center space, I'm continually impressed with the commitment to constant improvement across the organization. I'm confident in our team's ability to navigate the challenges of the coming months and look forward to the years ahead. And with that, I will turn it over to the operator to open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Brad Heffern from RBC Capital Markets. Brad, please go ahead.
Brad Heffern: Thank you. Good morning, everybody. On the Lira acquisition, what is the expected stabilized cap rate there? I think you mentioned that you think it's a discount to replacement value. So, any sort of quantification you can give there? And then when is it expected to stabilize?
Mark Decker: Yes. So, we bought that at a going in plus or minus 4.25% on our underwriting, which has some pretty conservative rent growth rates and it is stabilized. So, it's over 90% occupied.
Brad Heffern: Okay. I guess why is there the $0.02 of dilution there in the fourth quarter if it's stabilized already?
Bhairav Patel: Brad, this is Bhairav. So, with respect to the $0.02, that's driven by the rate of interest on the line of credit, which we drew down to fund the acquisition. So that rate of interest is higher than the stabilized cap rate that Mark mentioned, that's what's driving the dilution.
Brad Heffern: Okay. And so, do you have an expectation that there's going to be really strong rent growth with that particular property as kind of the lease-up leases roll off? Or I guess, how does that transition from being dilutive to accretive?
Mark Decker: Yes. We do believe it will have strong growth. Again, we didn't underwrite particularly strong growth, but that is what we're seeing in Denver broadly. And we do believe this asset is well positioned in the submarket. So, when we look at it on a more than 90-day basis and we think about driving margin, portfolio quality, long-term earnings growth, we're quite confident this asset will run faster than many of our other assets, and we may sell some of those assets to fund this over time. But we also think we bought it at less than it would cost to build it. So, I am mindful -- I think your question is spot on earnings as a consideration, but long-term earnings growth is also a consideration.
Brad Heffern: Okay. Got it. And then, you mentioned in the release, the noncontrollable unreimbursable expenses. I guess can you walk through exactly what that is? And is there any quantification you can give as to how much that that's affecting overall expense growth?
Bhairav Patel: Yes. This is Bhairav. So, the nonreimbursable losses, the reference to that was particularly in regard to the non-same-store portfolio where we've seen more incidents in the third quarter as well as at the beginning of the fourth quarter. Overall, I think just the impact of those incidents would be about $400,000 or a couple of pennies that would impact the core FFO guidance as you kind of think about it on a whole year basis.
Operator: Thank you. Our next question comes from John Kim from BMO Capital Markets. John, please go ahead.
Unidentified Analyst: Hi, I'm [Robin Analan] here with BMO Capital Markets. Just wanted to grasp your building blocks to 2 & 3. What's the current loss to lease and earn-in? And could you perhaps walk me through how you calculate in?
Mark Decker: Yes, go ahead.
Bhairav Patel: Could you say the last part of the question again, so what's earn-in and what was the last part of the question?
Unidentified Analyst: Yes. It appears to do it differently, just wanted to ask if you can welcome through how you calculate it, how you get to earn in?
Bhairav Patel: Yes. I mean I can take that part first. I mean, overall, if you look at the loss to lease, and we're modeling all our leases as they kind of come up for expiration. So, depending on whether it's being renewed or we're kind of rolling into a new lease, we would just assign the market rent at that point, depending on whether we believe that's being renewed or it's a new lease. We roughly use about a 50% renewal rate, and that's how we kind of run that through the model. And with respect to the loss to lease, I mean, as of September, it was at about 6.5% to 7%. We've captured a lot of that loss to lease as we kind of went through the summer months. But the market rent kind of keeps changing. So, as we kind of try to project out 2023, we run a curve based on seasonality and that would be expected to increase as we kind of enter the summer months.
Anne Olson: And this is Anne. Given that we do have a pretty significant non-same-store portfolio, if we look at the whole portfolio, the last lease is closer to 8%, that 6.5% to 7% is on same-store only.
Unidentified Analyst: Okay. Looking at repairs and maintenance, what were some of the major drivers for the increased cost? Did perhaps turnover have an impact?
Mark Decker: Anne, do you want to take that?
Anne Olson: Yes, sure. Thanks. Yes. Turnover was one of the main drivers of our overall expense increase. R&M separate than turnover is also a big driver. What we're seeing there is really increased costs related to skilled trades and specialized services like pool servicing, HVAC, plumbing, we operate in very tight labor markets, and this is a lot of demand. We have over 40% of our leases turning. And so, when we look to our vendors, it's a lot of work for them, and they're having trouble finding staff and costs are increasing really pretty significantly. The repairs and maintenance side, another driver that we're seeing is security costs. Particularly in our urban assets, we've increased security as a way to enhance the resident experience and really make sure that we can keep our lease rates rising and retain our residents. So, we are seeing some increased costs on the security side in repairs and maintenance.
Unidentified Analyst: Okay. And just given the higher turnover there. Was there anything that's do that as far as moveouts -- move-out reasons?
Anne Olson: Yes. The largest reason that we see for move outs is relocation. That's really outpaced to buying a home, particularly in the third quarter. There are -- we did have a pretty significant amount of move-outs, a little bit over 5% of our move-outs were eviction related. If you recall, particularly in Minnesota, we have now this year was the year the eviction moratorium came off and also all rental assistance has now dwindled and tapered off. And so, we have seen a pretty significant amount of eviction-related move-outs. Those typically do drive turnover costs as well because those units are usually not in very good condition. We have a lot of damage write-offs related to those and also, we saw a pretty big spike in legal fees connected to those evictions in the third quarter, in particular.
Operator: Thank you. Our next question comes from Rob Stevenson from Janney Montgomery. Rob, please go ahead.
Rob Stevenson: Good morning, guys. Anne, can you talk about your ability to contain utility costs as the weather gets colder, how successful have you guys been in sub-metering, RUBS, et cetera? And what your -- have you guys hedged on gas prices and stuff like that?
Anne Olson: Yes. I can. And then maybe Bhairav can talk a little bit about how we're looking at utility costs and potential to hedge. We have RUBS across our portfolio. However, that is water, sewer gas and common area electric. We had not included in RUBS heat costs, gas costs historically. However, that is being rolled out across the portfolio now. So, there's always a trade-off there. We operate in a lot of markets where it's not common to have RUBS at all, much less not include heat and the rent. So, we are rolling that out right now and new leases starting in November. We'll see the renewal leases come on. So, as we work through 2023, we think that there's going to be a much less impact on increased utility costs and also an enhancement to our other revenue as we offset those. But for this year, that takes time as we go through the lease roll and given that we ramp that up this year and are starting it now, we really won't see those full impacts until 2024 but are planning on doing everything we can to bring those down into 2023. Bhairav, do you want to comment on the hedge?
Bhairav Patel: Yes. I mean, I think as we kind of think about controlling utilities costs, I mean the most effective strategy is what Anne laid out in terms of being able to pass some of these along. In certain markets, we are not able to hedge it just based on the regulations in place in those markets. But mostly as we kind of think about utilities offsetting it with, passing it down would be the most effective strategy plus hedging in this environment with volatility being where it is, even if we were able to hedge the cost of doing so would be extremely high in this environment. So, it's something that we can evaluate, but it's unlikely that it's something that we will be able to implement in the near future.
Rob Stevenson: Okay. And then are you guys seeing any - absent the eviction stuff, which probably been on your radar screen for a while, but are you seeing any uptick in normal delinquencies and bad debt throughout the portfolio or in certain markets?
Mark Decker: Generally, no I mean, Anne, do you want to give some detail on that?
Anne Olson: Yes, I would say generally no. In fact, I think we're fairly pleased with the way that our delinquency has come down post COVID and really feel like we're returning to kind of pre COVID levels. Our incomes continue to be very high on our new applications across the portfolio. And so, those rent to income numbers are good. We feel really good about the credit quality of our tenants.
Rob Stevenson: Okay. And then last one from me. Any changes on returns or volume of redevelopment that you're planning on doing here given some of the cost pressures, that, you talked about on the repairs and maintenance side? I assume that's flowing through redevelopment as well. Are you getting the returns that you need to get there or want to get there or is it situation where you put a pause on that? How are you guys thinking about the redevelopment process?
Mark Decker: Anne, do you want to take that one?
Anne Olson: Yes, I can't. I think our thought on redevelopment is we want to remain nimble. So we are constantly looking at as costs rise, as unforeseen circumstances happened during those projects, what the rental rates are, how it's impacting vacancy, how long it's taking to renew those units. And our goal is to be able to kind of turn it on and off as the market will bear it. So I do think that going into next year. We're going to really have heightened scrutiny on whether or not we can continue to get the premium. We feel very good about the projects we've undertaken year-to-date and what has been completed this year. In fact, during 2022, we did kind of accelerate a couple of our projects and with non-renewals and really took back a lot of units, which had about a 60 basis point impact on our overall occupancy in the third quarter. So right now, we feel really good about it, but with the cost of capital where it is and also the potential for some moderation of overall market rent growth. I think we're going to have to be very careful headed into next year. We have very good plans and great underwriting that we feel good about that, that underwriting can change quickly, and we want to be able to change with it.
Rob Stevenson: Okay, thanks guys I appreciate the thought.
Mark Decker: Rob, I'd just add on top of that. If you think about work from home and folks can't buy a house, that maybe they are planning and rents going up everywhere, so a perception of value - the value add tends to still work. But it is something we're looking at carefully across the board, as Anne outlined.
Operator: Thank you. Our next question comes from Connor Mitchell from Piper Sandler. Connor, please go ahead.
Connor Mitchell: Hi, good morning. Thanks for taking my question. I have two questions. The first one relates to the repairs and maintenance. You guys mentioned that it's a pretty tight labor market. So are there any additional steps you could take maybe bring in outside teams other than - or outside of your markets to maybe help with the labor pressure and help fight the cost a little bit or any other steps you could take to lower your repair and maintenance cost?
Mark Decker: Yes, I'll start and, Anne, maybe you can check on. But I'd say and generally, some - in particular, in the Mountain West, you just have more, I'd call them islands for labor. So if you think about, let's say, Dallas versus Denver, I mean, one, Dallas has 10 million people in it. And two, if you draw a circle of a four-hour drive around Dallas, you're into several other large metros. If you do that same thing in Denver, you can't find another similar size city. And that would get worse if you went to, say, Rapid City or billings, which are our other two Mountain West markets. So I think the difficulty in labor there is - I mean those are super tight markets on an absolute and relative basis, and it's exacerbated by some of those kinds of factors. But - so I just ask you to consider that. But with that, Anne, why don't you elaborate, please?
Anne Olson: Yes, we actually have used labor from other markets to travel into markets where we're having difficulty. Particularly on the value-add side, we might use a contractor from one of our - and team from one of our larger markets and send them to a smaller market simply given the cost pressure that that's less expensive to do than higher end market. So that is something that we look at. It is a way that we have been able to either get large projects accomplished, which otherwise may not have gone forward and/or reduce costs across that. But our vendors and contractors are having the same issue with labor that I think everyone is, which is very hard to find skilled workers. And a lot of the R&M costs are related to things like we talked about plumbing, school maintenance, HVAC. So specialized services, there's a really high demand on those, and we've seen costs in those areas really skyrocket.
Connor Mitchell: Okay, I appreciate the color. And then my second question is on the current use of capital. And I know you guys mentioned that some acquisitions now may be tougher potential with the rising rates. So should we expect any further acquisitions or maybe turn to additional stock buybacks or other uses of capital?
Mark Decker: Yes, so I guess a couple of thoughts on that, Connor. First, we're clearly headed - I mean, price discovery is a very real and evolving thing, and that's driven by really pretty significant lack of volume. And if you think about how assets are sold in the apartment space, I mean, a lot of them are kind of flow oriented. So funds have time lines, what have you. Most of that flow oriented business is gone, and it's really about situational deals where there's some sort of circumstance or situation that would cause someone to sell right now because while there's a lot of capital on the sideline, it's all kind of waiting and seeing. So I think what that means is there will be some interesting situations where someone's inclined to do this, inclined to go to market. And those might be good opportunities to take advantage, but there's not going to be, I don't think, a lot of volume, at least not in the next little while. What is coming out for sale, I mean, we're seeing what we think are pretty good prices. Now if you went into like Rumpelstiltskin mode and just fell asleep in 2017, and I told you those prices, they would feel great. They would probably feel high. But relative to where we've been in the last few years, they're off quite a bit, 75 to 100 basis points probably. So I don't think it's the case that multifamily is going to start trading at seven caps because long-term capital is currently trading or fetching six's because there's just too much capital out there, and this is a relatively good asset when you're considering alternatives. And if you are a believer in inflation, which I am and I think our numbers would evidence that it's real. So to answer your question, we're going to be as opportunistic as we possibly can be, and we're going to really mind our balance sheet, which was in great shape coming into this, and we hope to exit in great shape as well.
Operator: Thank you. Our next question comes from Wes Golladay from Baird. Wes, please go ahead.
Wes Golladay: Hi, good morning everyone. Do you have any plans for dispositions to lock in this arbitrage? I know you said the market is not quite as robust as it is now with the public equity versus private - is probably still a pretty wide gap? And then the second part of the question is with that mindset that inflation is high and is likely to remain higher. Are you going to look to permanently finance - term out that line minor credit?
Mark Decker: The simple answer to the question is yes to both. But to elaborate a little bit, yes I mean, we're looking - we look every quarter at our assets, and we really try to discern what we think long-term capital expenditures are going to be and kind of look at it after everything cash flow. And it is often the case that a newer asset like Lira might look quite attractive, and that was just completed in April versus some of our older properties, which might have a much higher stated cap rate but a much lower kind of after everything cash flow. And it's also the case that some of those assets might trade at cap rates that are pretty high and can get neutral or positive leverage. So when we consider some of our older assets, it might be the case that, that works well for us. So yes, we're evaluating that. We'll continue to evaluate that. And I would also expect us to put on some longer-term financing for Lira. And candidly, it won't be as exciting as I thought it would be. Because when we agreed to price on that asset, we were looking at 10 to 12-year money in the high fours call it, 4.75% range. And today, that money from the agencies is probably mid-5s plus, mid 5% to 6% and it changes every day because treasury is moving around. And the unsecured market, which would be our favorite market is kind of priced out of - priced out of - priced in a way that would discourage you from going. So I think for us, unsecured capital today would be mid-6s. And that's - if you look at the rated - investment-grade rated multifamily bonds, they're in the mid-6s the SFRs or low to mid-6s if you look at kind of UDR to the SFRs. And we would be off of those so all of that would probably drive us to the secured market. And I would expect to see us to pick some debt there.
Wes Golladay: Okay. Yes. I think this moved kind a lot of the soft guard. And just go back to the non-controllable unreimbursable expenses this quarter, do you have typically every year, I guess, what's the delta that is truly abnormal when we lift model next year we should probably look to take out some of that $400,000. And then on the other revenue, once again, it's a little bit outsized this quarter. Can you elaborate what's going on there? And what should we not pull forward to the next year's model?
Bhairav Patel: Sure, I'll take that. On the unreimbursable losses, again, as I said, those were on the non-same-store portfolio, the $400,000 number that I quoted. And that truly seems to be over than what we had expected so truly unexpected unreimbursable losses driven by incidents in that non-same-store portfolio. Coming back to your question on revenue this quarter, in addition to the scheduled rent growth, we've seen growth across all the categories. Collections are much better Anne alluded to a much more normalized collections rate that we have hit upon in the third quarter and overall year-to-date. So that contributed a bit to the revenue increase year-over-year. Last year in the same quarter, we actually had lower collections. So that's driving the year-over-year increase. And concessions have been lower. That's also driven some of the year-over-year increase, and then other revenue is higher, some of its driven by RUBs, some of its driven by some door fees and revenue sharing agreements that we've signed. And we've had higher application fees and administrative fees and all those things that are driving other revenue as well in the third quarter.
Operator: Thank you. [Operator Instructions] Our next question comes from Buck Horne from Raymond James. Buck, please go ahead.
Buck Horne: Thank you very much. I appreciate it. Good morning, I guess Mark, I'm still struck on the acquisition timing a little bit. And I guess my question is really kind of why now on Lira and kind of also why now on stock repurchases when there's a lot of signs out there that rent growth is decelerating pretty rapidly at a market level, maybe more than just normal seasonality this year, got a lot of recessionary type indicators flashing warning lights out there? As you said, there's just a huge amount of kind of price discovery that's still evolving right now. What gave you the confidence to kind of go ahead and go forward with Lira and also to kind of lever up to do stock repurchases? Yes, I'm just kind of wondering why now and was there something specific to the deal?
Mark Decker: Good question. I guess the truth of it is, we'll know the bottom in hindsight, and we certainly were trying to call the bottom, but it is our goal to be an active participant kind of throughout the cycle. And - this was a submarket we really like in Denver and asset quality that we feel confident in. We know this group who built this well and looked at financing it on the front end. So we like the asset and felt like we understood it very well and felt like we understood that there wouldn't be a lot of surprises. Who knows the risk when you buy something is you learn after you close, but so far, so good on that score. And we were quite confident that pricing had really moved from kind of earlier in the year. Now it may continue to move. I don't actually know. I mean there's a whole lot of equity out there kind of in wait-and-see mode. And my guess is they'll - if you have lots of negative leverage, you'll use less leverage, and there's lots of buyers out there that can do that. So why now was, we like the asset, we like the submarket. We felt great about it. Candidly, we would have locked price, the pricing of our debt better, and it wouldn't have been dilutive as it currently is. But we're not really playing a 90-day game. We're playing a multiyear game. And on that basis, this made a lot of sense. I'd say similar on the stock. I mean, we have a view of what our NAV is. We update that quarterly. We talk about it nearly daily. And we have confidence in the business and believe that over the long-term, these assets are worth more than we're currently paying for them, so - sort of why now [technical difficulty].
Buck Horne: I appreciate that very much. Just a couple of quick follow-ups kind of on - as the portfolio stands today and with some newer assets, how do you think about the recurring CapEx run rate of the portfolio now? It looks like same-store CapEx was still elevated even with R&M and turn costs also going up. Is there a higher level of CapEx to expect out of the portfolio or did the newer assets kind of bring down that run rate?
Mark Decker: Yes and no. I mean as you know, we added that older portfolio, the KMS portfolio, which has been - has worked very well relative to how we expected from a cash flow perspective. Those are very old assets that have real CapEx needs and they'll be in the same store next year. So when you think about what we've talked about over time, in particular with respect to NOI margin, with shrinking that CapEx and lowering the age of portfolio. I mean, just mathematically, the reality is KMS is a bit of a step back there. Now our other goals are distributable cash and efficiency of the enterprise from a G&A and property management perspective. So we're serving a lot of masters there. But I think - and Bhairav can probably comment in detail. But the CapEx affiliated with KMS coming into the same-store pool will certainly overwhelm. I mean the other assets we bought, the Min-3 assets, NoCo and obviously Lira are all built in the last five years. So they should have relatively low CapEx in the near term, but the KMS that's 2,700 units, so our homes.
Bhairav Patel: Yes and plus, we budgeted some acquisition capital in the KMS portfolio. So as you look at same-store CapEx year-over-year as we enter into next year with KMS in the portfolio, some of it will be covered as part of acquisition capital. So the run rate shouldn't go up materially as we kind of start spending some of those acquisitions capital.
Mark Decker: Yes and that number was $40 million, which we've gotten less of it out this year than we planned because it's been hard to get work - scheduled.
Operator: Thank you. We now have a follow-up question from Brad Heffern from RBC Capital Markets. Brad, please go ahead.
Brad Heffern: Hi, thanks for the follow-up. I was just curious, Anne, if you had any leasing stats and occupancy numbers that you could give for October?
Anne Olson: Yes, not quite yet. I mean we did see - I will say what I'm seeing so far as we close out October and get the final documentation into the system is still really strong renewals. We did - we have seen a seasonal drop-off in traffic. We were down a bit from August to September, close to 20% in traffic, again in October, down about 15% in traffic. That is absolutely completely normal for us. And what we're seeing is just routine seasonality there. So what we're expecting, given some of the preliminary October numbers is that the new lease rates are going to come down, they always do in the fourth quarter and that the renewals will remain strong for the first couple of months.
Operator: We currently have no further questions. I'll now hand you back over to Mark Decker for closing remarks.
Mark Decker: Super. Thanks. Well, we appreciate everyone's continued interest in the company, and I'll be at NAREIT in San Francisco in a few weeks and hope to see some of you there. So thanks very much, everyone, and have a good week.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.